Johan Akerblom: So welcome, everyone. Today, myself and Masih will take you through our Q4 report, and our strategic review. We will start with the fourth quarter and the year-end 2025, then we will go through the strategic review presentation, and we will wrap up with Q&A. Moving into the fourth quarter, and looking at the developments, we've had a continued underlying business progress in both servicing and investing. We have had underlying costs that continue to go down. And we did take as part of the yearly review, a goodwill write-down, and we did also a tax asset write-down. We continue to focus on deleveraging. And if you look on year-on-year, the leverage ratio has improved from 5.3 down to 4.8. On top of that, we're continuously working on strengthening the balance sheet, and we did announce a sale in January '26 of the remaining stake of our joint venture with Brocc. This will have a positive impact on the leverage when we close it. On the servicing side, we see a continued organic growth. The margins remain elevated and steady, and we have had a strong sales execution in the fourth quarter. On the investing side, collection index continued to be above 100%. We did close SEK 436 million of new investments with an IRR of 18% in Q4, and we have, for the year done SEK 1.2 billion with an IRR of 20%. As you can see on the chart, the service margin has steadily been going up, and it continues up in Q4 as well. In Q4, we have a 31% margin on the quarter standalone. If we look at the servicing income, it's very positive to see 2 quarters now in a row, we have external servicing income growth, taking into account FX-neutral assumptions. On top of that, we continue to increase our pipeline, so we're moving into 2026 with SEK 2 billion in our pipeline. And we have continuously been working on the pricing model and strengthening the sales team. Investing displays another quarter of high collections, and we continue to extract a lot of value out of our portfolios. If we compare it to the original forecast, we're now at 109%. And it's interesting to see that our investing book and the performance on it remains very strong, even though we sold a large part of the back pool (sic) [ book ] in 2024. The ERC as we end 2025 sits at SEK 46 billion. Moving over to Masih, and the financials.
Masih Yazdi: Thank you, Johan. So let's go into the Q4 P&L a bit more in detail. So income is down compared to a year ago, 7%. That is almost exclusively driven by FX. The investment book is a bit smaller as well, but a large share of decline in the investment book is also driven by FX this quarter. As Johan alluded to before, we did have a goodwill write-down. It's coming from a few different countries, we had preannounced that at SEK 3.1 billion, it ended up at SEK 2.9 billion, and the difference there is really driven by FX changes from the announcement to the end of the year, as well as some small adjustments to the WACC we use in the goodwill calculations. The adjusted EBIT is largely unchanged as the income decline has been largely offset with cost reductions. And here are the cost reductions, so the underlying costs continue to go down. It's down about SEK 1.6 billion on an annual basis in Q4, if you look at the 12-month trend, and it's mainly driven by personnel reductions. So FTEs are now down at year-end to around 8,500 people in the company. Looking into servicing, as Johan mentioned, so we do see organic growth for the second quarter running, but we do have FX headwinds here. So the income is down 3% year-on-year. But as I said, 1% organic growth underneath the surface. Cost development continues to be good. Here is the area where we continuously do take out costs and plan to do that also going forward, which means that we continue to have a good development of adjusted EBIT, which is up 31% compared to -- so full year 2025 compared to full year 2024. On the investing side, income is down more, 11% year-on-year if you compare '25 to '24 and 17% Q4 versus Q4 2024, very much driven by the fact that we have a portfolio that is shrinking as our new investments are less than what is being amortized. But at the same time, the performance we have, keep performing above the 100% means that the investment book, the income from the investment book is going down less than the size of the investment book, which is obviously a good development that we are extracting more value than what was initially thought in the forecast that we had. On leverage, we see a decline of leverage, 5.3 a year ago to 4.8 at the end of the year. It is marginally going up quarter-on-quarter. That increase is largely driven by the fact that we have improvement on the servicing side, but the cash flow improvements on servicing is not sufficient to offset the decline of cash flows coming from investing. That's the case in this quarter. Obviously, the plan going forward is to make sure that the improvements we see in servicing is more than offsetting the decline coming from the investing side. Johan is going to summarize the quarter.
Johan Akerblom: Yes. So I mean, to wrap up, I think we said it all, but Q4 delivered continued underlying business progress. And we've also spent a large amount of time to actually do the strategic review. And I think with that, we move into the next section, and talk about what we have discovered. So let's talk about the strategic review. We have obviously spent a lot of time during the fall to look at where the company is, what the recapitalization entails, but also in terms of strategy and the way forward. I think the previous strategy was done in 2023. Some of the targets that were mapped out then has either been fulfilled or partly become obsolete. The company has changed dramatically. A lot of events that probably wasn't part of the first strategic review in '23 has happened. So it was time to do a strategic review, and really to set the foundation for the way forward. We will take you through what we think is the strategy for 2030, how we will execute, and then finally, what the financial impact will be delivering the strategy. So talking about Intrum 2030, it all starts with a continued focus on deleveraging and derisking. This has been very important over the last year. It will continue to be very important going forward, and it will be one of the guiding stars in everything we do in terms of activities. At the same time, we will also start working on our '26 to 2030 priorities, which are servicing performance, growth acceleration, and expanding our holistic view as an investing partner. When doing so, we will cement our positioning as the leading credit management servicer, and most attractive investment partner in Europe. And this will set a reinforcing wheel of value creation, an emotion, and that will deliver our 2030 financial targets, which are around service leveraging, total cost, and servicing EBIT margin. If we talk about Intrum and where we are today, first of all, we are already Europe's largest debt collector, and we have the scalability. We operate in 20 markets and the markets has slightly different characteristics, and we manage 400,000 customer interactions on a daily basis. We are working with 70,000 clients, and we are, as I said, in 20 countries. And every year, we basically have around 6 million debtors fully repaying their debt, out of 22 million active on an ongoing basis. When it comes to the markets, we have split them into three segments. One is the investing focused markets, which would be the Eastern European markets, Czech, Slovakia and Hungary. Then you would have the specialized markets where we have a composition of the business, which is built on something that has happened in the history. So there you would have Spain, you would have Italy, you would have Greece, and the U.K. And then you have the rest of our traditional servicing and investing markets. The way we operate is with the dual engine. We have the servicing where we collect debt on behalf of the clients, and we have the investing where we purchase debt portfolios either into our own balance sheet or together with the partner. These 2 engines are highly complementary and they're also reinforcing. Moving over to Masih.
Masih Yazdi: Thanks, Johan. So already in the last couple of years, there's been a large transition in the company, moving more into becoming a servicer. You can see it in the financials. So the investment book has come down by 40% over the last couple of years. Obviously, a big chunk of that is due to the book sale that was done in 2024. But at the same time as that has happened, we've seen an increase of the external servicing revenue of 8%. The margin has gone up by more than 50% in the same period, and the share of the revenues generated for the company has increased when it comes to servicing from about 1/3 or 30% in '23 to now being the majority of the revenues being generated. And simultaneously to this happening, the net debt has gone down by 23% or almost SEK 14 billion. I think also just to add to this, I think when you make this transition from more of an investing focus to servicing company, you actually remove the business risk in the franchise, which is an important part of the strategy going forward as well.
Johan Akerblom: Yes. When it comes to the market environment, we think there are a few trends that we believe are favorable for us. A large reason for why these are favorable for us is that we are a large company in a dominating position in Europe with significant scale. If you look at the competitive landscape, we can see that companies in our industry are specializing more, either becoming investor and servicer, and there are a few that have this full range of services that they offer as we do. On the technology side, this is still a very manual industry, and we know that there is a lot of new tech that has come into the market the last few years and will come into the market the next few years. And it's very difficult to find an industry where this can be more applicable than within our industry. And with the scale we have, we can justify the investments in the technology, because basically, what they do is that they help you with something that is repetitive and scalable, and we think we have a large advantage there. And the same goes with regulation, more regulation means that you need more scale to be able to absorb it and comply with everything that is being introduced. When it comes to the market as a whole, we know that the economy goes in cycles. And with the dual engine we have, we know that those 2 business lines generally offset each other. So when the market is benign, servicing does better, we have an easy way of collecting. And when the market is going down to a rough cycle, we know that the nonperforming loans typically increase, and we have a better opportunity investing. We've gathered some data on how these 2 business lines could grow in the market in the coming years. On servicing, we expect about 3% annualized growth until 2030. When it comes to servicing collections within the financial industry, we think that's going to grow slightly more, about 4%. And that's also where we have the bulk of our business today. So about 60%, 70% of the servicing revenues we have today is coming from financial sector. But at the same time, 90% of the collection business is outside of financial services. And what we plan to do is penetrate that part to a lot much larger degree than what we have historically going forward. On the portfolio side, there's been a significant decline of nonperforming loans in recent years after the increase we had post the financial crisis. The general expectation is that we are at the trough point. We're at trough point in 2024, and we'll see an increase of portfolio investments going forward, and that that will grow by about 9% annually until 2030. So talking about the 2030 strategy. First of all, as I said, in the near term, we will have a lot of focus on deleveraging and derisking. We have already started this journey. We started that journey already a year ago. I think we have started with an acceleration by the sale of the portfolio that we announced in January this year with the intent to repay the 2027 maturities. We are, as part of the strategic review, also looking into other type of divestments when it comes to either portfolios or nonstrategic assets, and this is carefully being evaluated. And again, the guiding star is that we can improve our leverage ratio. We will continue to apply very strict cost control. We are guiding a 5% lower cost in '26 versus '25 on the underlying basis, and also with the FX rates as we are experience right now. And the limited portfolio investments with a focus on return will continue, as we said, focusing on the deleveraging, which means that the cash flow will be used to a large degree for debt repayments. And this is necessary to give us the full flexibility in our strategy execution. So talking about the strategic priorities. We have a strategic ambition to become and cement the leading credit management servicer and the most attractive investing partner in Europe. That means that we need to have a superior servicing performance, we need to achieve growth acceleration, and we need to be the preferred investing partner in this segment. And I think Masih alluded to that before, we think a lot of this can be achieved by actually just starting to use technology data and AI in a completely different manner and scale than we do today. When we look at this, and both me and Masih are coming from the banking industry, we've been through the transition that the banking industry did. And we actually think that this industry is an even better used case than the banking industry, and the banking industry has received a massive amount of value from applying technology data and AI. We think that there is more value to be captured in this industry. To be a bit more concrete, what do we mean, i.e., where are we today, and what do we want to be in 2030? Talking about servicing performance and excelling in that area. Today, we have a quite bespoke and largely manual collection process. We need to be highly digital, automated, and we need to be very standardized across our processes. This means that we have to make a lot of changes in the way we work. On top of that, in order to make that changes happen and to be effective in our collection process when it's more digital, we need to leverage the data we have. Today, data is used in some processes and some decision-making, but it's not fully utilized. When we operate this in 2030, it should be a fully data-driven operations decision-making process. And that's going to give us not only much better predictability on what we can do, but it will give us a lot of other benefits. On accelerating the growth, we have very much a financial services focus today. We need to diversify our presence across other segments, and we need to be competitive, and we will explain later on how we will become competitive in those segments. And we are already today competitive in those segments in some markets. We have today a value chain expansion in some markets. So when we look at the collection business, there's a lot of services around it that are non-collection, but very closely related, that's why we see us as a full credit management service provider in the future. On the investing side, is just the fact that the investing volumes today are impacted by our funding cost and our capital structure. We need to create a very sustainable and competitive funding cost to be able to invest more and mainly continue to invest through the partnerships. And finally, we have been in a capital partnership now for a year, we need to build something which is more of a full stop shop full service offering for investors, because we have all those capabilities. So how will we make this happen? Well, first of all, we now have a new executive management team. It's not fully in place, but everyone has been recruited, and everyone has either started or is about to start. And I think a couple of common denominators for this management team is, first of all, they have a very long experience in the financial industry, which has been going through quite some changes if you look back 20 years, 25 years. Secondly, they have experience of being part of transformation or driving transformation journeys, which is exactly what we need to do going forward. And I think thirdly, they've been in a business where technology, data and -- not AI yet, but a little bit the ember of AI has made a huge difference in the way you operate. And those are the things we'll take with us. And on top of that, we have a lot of collection experience in our markets with our experienced managing directors. So in terms of strategy execution, we'll start talking about the servicing performance. We have basically an ambition to drive our platform optimization. And the way we do that is, first of all, we will consolidate our platform further, and this is a little bit coming back to how we think about our markets. Secondly, or in parallel actually, we have basically 5 major areas across the collection process that plays an impact. You have the inbound customer contact, and we have millions of calls, the outbound customer contacts where we also have millions of calls, you have the whole capacity management. And remember here, we have roughly 6,000 people working in this process. So to get the capacity management right makes a huge difference. So you can get the efficiency of every operator and every agent as high as possible. Then we have the agent productivity. So actually, when they are on a call, how do you make that call as productive as possible and how do you coach them and create a continuous learning to make sure that, yes, tomorrow is going to be a little bit better than today and the day after tomorrow will be even better than tomorrow. And then finally, there's a lot of work to be done on the noncore process optimization. In here, you would find pure process reengineering levers, you would find levers that are around performance management. So everything is not driven by just tech or data or AI. But if you apply the basic process optimization tools, and then you add technology, data and AI in there, you get very fast traction on that transformation. But it also has to have a lot of focus. So as you can see, the bars on the bottom basically shows how big the cost-out potential could be. And with 6,000 people in operations, we think that the cost trajectory that we've had in the past will continue going forward. At the same time, we will also make the user experience much, much better. To give an example of what we have done, and this is basically just illustrating how much you can do without actually making -- even starting to adopt some of the more modern technologies. In Norway, we've had a top line that has been flattish, slightly declining for structural reasons. The production cost to collect has gone down 36%. The collection per FTE has gone up 46%. And in the end, the adjusted EBIT margin has increased almost 50%. This not only gives us a much more competitive business today, it also allows us to win and be more -- much more competitive in winning new business going forward. So we think that this is the starting point to actually become a growing entity. You need to be efficient first and then you can basically become much more competitive in your offering. Yes. I mean, Norway is probably the prime example we have of adopting new ways and improving the processes. But they already have all the tools. So we have that in the group. So just getting every other market to be on par with Norway in terms of how you collect and how you can perform that more efficiently takes us a long way across this journey we're planning for. Obviously, in addition to that, we will apply new tools that everyone will use as well as Norway to become even better. And Norway has not done this through AI or some massive technology shift, this has mainly been done on standardization, process optimization, and proper capacity and performance management. Another area which we have just sort of scraped the surface on is how we can use the data. Today, we have 20,000 PI portfolios, so we have invested historically over 20,000 portfolios. We use that data, but that data is just a small fraction of all the data that we sit on in the group. Today, in the group, we have 70,000 clients, as I said before. A lot of those clients, they actually have several different portfolios that we have been or are collecting on. So when we can start pulling some of the insights out of that data stack, which we already started working on, so we're basically taking the same approach that we've done on our PI portfolio data analysis, and we're trying now to apply that for the bigger universe of servicing data. Then we can move from the current use of data to something that is much more value-enhancing going forward, which is around improving the underwriting data on the portfolio investments. We can add a lot of value-adding client services. Essentially, we can go and advise the client on the best way to collect on their debt, and the best way to structure insourcing versus outsourcing and so forth. We will use it more and more in our action decision engine to make the right decision rather than to make a decision based on your own experience. And then we can also do very good statistical servicing pricing and benchmarking to identify best practice both across verticals, but also in -- across geographies. On growth acceleration, which is the next element of the strategy, we think that the first part, what we talked about servicing performance, that is a very important foundation to accelerate the growth, because as we discussed with Norway, but in general, you need to be the best service performers in order to actually grow in the existing segments more than we do today. When you have the best competitive offering by being the most efficient and the smartest on how you collect, you can be much more competitive in pricing, you can get a better result for your clients, and you can also protect and grow your existing business. And when you have done that, you also underwrite to grow a new segments, because the new segments outside the FS, they are usually smaller tickets and it's usually faster processes, and they need to be driven by a very efficient collection process. So in order to excel there, we need to be the best when it comes to service performance. The top line that we're looking at is quite significant. So just to do more where we stand, i.e., close the white space within financial services, strengthen our strategic partnerships, continue adding value to our services, and be better in sales effectiveness, we think there's roughly SEK 0.5 billion to capture. And this is, again, comparing 2030 to 2025. If we can start capturing the untapped potential outside the large non-FS segments, there's another maybe SEK 2 billion of potential. And that means that we need to enhance our offering, and we need to be more on the digital collections, and we also need to start being better in offering adjacent services. Lastly, on the B2B segment, there's a little bit more than SEK 0.5 billion in potential. And that is a little bit aligned with the second part, because the need there is very much similar, and you can almost create a plug-and-play platform where SMEs plug in, load their cases and they run on our platform. So again, to be very concrete, for example, in Switzerland, where we've been very successful in growing outside the collection space, we have roughly 15% to 20% of our revenue in the non-collection. We make almost 3x as much the group average income per FTE. On the group, we would say we have somewhere around 5%. So by moving into this non-collection, you can actually capture a much bigger part of the value chain, and you actually get the leverage on the services you already provide as a collection partner. In Germany, we have a different situation, where the market size is really, really big. We have a 10% to 15% market share in the FS segment. In the other collections -- in the other industries, we have less than 1%. But the total market size is SEK 2 billion. So by just being able to move in and capture our fair share in the other services, there's a big, big upside in terms of income, and in the end, in terms of generating more profit. Finally, we also have, as you all know, Ophelos, which is a digital standalone platform. Here, we have now pivot from the fully integrated approach where we started to a standalone model. We think Ophelos should almost compete with us as a different business offering. We are today doing this by plugging it in, in Portugal, and then we're moving either existing clients onto that platform and also using to acquire new businesses. And then we were going to scale it across the group. And we already have good progress with some of the leading buy now pay later players, not only in Portugal, because it exists -- Ophelos still exists in pockets across the group, and that works extremely well. And the benefit with Ophelos is that there's a massive improvement in terms of speed, scalability, product innovation and the performance uplift. But to be a little bit conservative here, we have actually not fully -- we have not included the upside from Ophelos in the base case financial plan. So with that, I'm going to hand over to Masih to take you through the last element of the strategy.
Masih Yazdi: Thanks, Johan. So let's talk about the third leg, investing partner. Here, our current situation is a bit different compared to the servicing side, where there are clear improvements to be made. On the investing side, we are clearly a dominant force in Europe. We see basically every deal that goes through, we get to analyze them, we get to see the deal flow. Obviously, recently, we've invested less, but at the same time, we see all the deals, we see all the data, and we've been able to combine some larger deals that typically have lower returns with smaller deals, which typically have higher returns and have a good enough blended return. As you know, most of you, in the last year or so, we've done this in one partnership with Cerberus. If you look at performance, the performance here has been very good. So every portfolio has a forecast, where we have an assumption of future cash flows that index is 100%, whereas if you look at the actual performance of the last 20 years, it's been at 107%. So the book value that we have and have had historically, this company has basically almost outperformed on that book value. Even in deep economic downturns, the performance has been almost in line with the forecast that has been used.
Johan Akerblom: I would just like to add here. I mean, I think there was some skepsis in the market when we sold the back book in 2024. Now we sold the second part of that back book that the rest of the portfolio would actually not perform in line with historical performance. What we see now being basically more than a year down the road is that we continue to perform almost even better than we've done in the past. Yes.
Masih Yazdi: So if you look at the strategy we aim to have when it comes to investing, we look at this in sort of a few different perspectives. There are investments on our own balance sheet. So the investments we do ourselves. In the near term, as we start out saying, we will be more conservative. We will have more limited volumes, and we'll focus quite a bit more on returns. We need to do that to make sure that we use the cash flows we generate to reduce the debt burden of the company. In the longer term, and this will be dependent on the evolution of funding costs, as the funding costs come down, we'll be more competitive on new investments and investments will be ramped up. And we believe that during the period '26 to 2030 at some point, investing more will be a contribution to the income growth we have as a company. On the capital partnership side, we will continue that. This is something we want to expand. We want to have capital partners. We believe that there are investors out there that would like to benefit from the underwriting capabilities we have, and the deal flow we see, and the fact that we can help servicing the portfolios and invest together with us. We typically take a smaller share, but we can offer other capabilities that they typically don't have. And we want to continue to work on that. And in the future, we'd like to add more partnerships in different shapes and forms than what we have today. Then there's an SDR option. In the near term, it's probably not feasible. We are continuously evaluating if there is a scope for us to have an access to an SDR vehicle. It could be a minority access, it could be a majority access. There are pros and cons with both of those. But during 2026, we expect to have fully evaluated that and have understood what the next best step for us is. And obviously, if we get that access, then that will also have a significant impact on the investment volumes we can do in the SDR vehicle given the funding cost we'll have at that point. So let's move into the financials and starting with the 3 new financial targets we've set. So the reason we set these targets is that we want -- for it to be something extremely relevant, help us in our strategy execution, but also be something that we feel that we have fairly good control over. Clearly, the most important one is leverage. We need to reduce leverage, and we've set a new target, which is 3x that the net debt when excluding 80% of whatever the book value is investing. So the book value is assumed to consume debt up to 80% of the book value. And then all the rest of the debt is allocated to the servicing business, and that leverage needs to come down to 3x. If you compare this to the current way of formulating the leverage, which was 4.8x, 3x on servicing and 80% LTV on investing is just below 3x leverage on the current definition. So it's a more ambitious target than we've had in the past, but we're giving ourselves a bit more time to get there, because obviously this needs to be realistic. On the cost side, the underlying cost in '25 were SEK 12.3 billion, we've guided for that to be reduced by another 5% in '26. And then we expect cost to come down every single year until 2030 to reach a level of SEK 10 billion to SEK 11 billion. And this level will be dependent on the actual growth on the servicing top line. If we have growth of, say, low single digits, we're more likely to be at the SEK 10 billion mark. And if growth is, let's say, high single digit, it's likely to be more closer to SEK 11 billion level. Then on the margins, there's been good margin improvement, and we are targeting to increase that further to somewhere between 30% and 35% by 2030. The reason we have an upper limit here is that we want to strike a balance between finding cost efficiencies and then transforming those efficiencies to our offering, so that we can offer a better price for customers, and therefore, gain market shares. So we want to find a good combination of a sufficiently good margin, but also growing our business faster. If you look at all of these 3 targets we're setting, and the development we've had, we actually are already moving in the right direction. Service deleveraging is coming down. The cost level is already down more than SEK 2 billion in the last couple of years, and servicing EBIT margin is up by 9 percentage points last couple of years. And if you look at those 2 targets, actually the trajectory at forward has a slower pace of improvement than the improvements we've seen in the last couple of years. So we think this is clearly realistic and something that we can achieve. And obviously, it's going to be a guiding star for the company. So let's talk about the debt we have and our view on how to deal with that. So we have about SEK 45 billion of nominal debt outstanding, the first maturities are in 2027. We had -- the announcement of the portfolio sale in January, the proceeds from that sale, combined with the organic cash flow we believe we will generate will be sufficient to completely redeem or pay back the second lien maturities in 2027, which is about EUR 370 million. When it comes to the other maturities in 2027, given the market input we have and the secondary market trading of those instruments, we believe we can refinance those at better terms than currently outstanding, and we plan to do so first half of 2026. When it comes to future maturities, we have made a plan of our P&L development and looked at the organic cash flow generation in that plan. And we believe that there will be a certain part of each year's maturities that we will be able to repay or redeem. And in combination throughout these years, we believe that we can reduce the debt by somewhere between SEK 10 billion and SEK 15 billion. Obviously, almost SEK 4 billion out of that is coming from the 2027 maturities already probably this year. And the SEK 10 billion to SEK 15 billion is really dependent on, obviously, the success of executing on the organic path, but also to what extent we can extract the value from the balance sheet by selling nonstrategic portfolios or assets that we have. And obviously, we're working on those different projects. Then at the bottom of the slide, you can see this is not a guidance or -- it's a forecast or guiding for us when we come up with the deleveraging plan that we have. Maybe just pointing out a couple of things here. On the servicing income, we expect it to be largely flat this year, and that's mainly due to the fact that already going into the year, we have fairly significant FX headwinds with the Swedish krona strengthening by about 5% versus the euro. So we need to see clearly good organic growth to offset that. Then on interest expense, we assume that will come down over the coming years as our debt burden comes down as we continue to see improvements in our operating performance. And portfolio investments, slightly lower in '26 than '25, and then we expect to be able to ramp that up slowly, and then at some point in time, invest more than what we are amortizing and this being a contribution to the general income growth of the company. Repeating what we started with, near-term focus, deleveraging and derisking, this is something we need to have to have flexibility in our strategy. We have the priorities, servicing performance, growth acceleration and being a good investing partner. We believe that we could be on the verge of coming into this positive momentum of deleveraging, lowering funding costs, being able to accelerate growth, which will continue to delever and so forth. And we have the guiding stars in our financial targets we will be working on. That's the end of the presentation, and we will open up for Q&A.
Johan Akerblom: Yes. Before we start on the Q&A, I just want to say that the strategy here, what it actually accomplishes is not only creates shareholder value, but by transforming the company in this direction and working on these levers, we will actually create a much more stable business model. And that's the whole idea to create something that could sustain for a long, long time and that can carry a certain level of debt, but also give the flexibility to manage that up and down depending on the opportunities that are out there. So part of the strategy is actually creating something that fundamentally removes a lot of risk in what we've had as a previous franchise model.
Masih Yazdi: Q&A?
Johan Akerblom: Yes. Let's start the Q&A.
Johan Akerblom: So as we kick off the Q&A, we will actually start with some of the questions coming from the teleconference.
Operator: [Operator Instructions] The next question comes from Jacob Hesslevik from SEB.
Jacob Hesslevik: Maybe we could begin on your financial target regarding the servicing EBIT margin. Could you provide some details on the drivers behind the margin expansion? Is it mainly from lower cost or rather growing top line to better scale the cost base?
Masih Yazdi: Jacob, yes, I mean, it will be initially a lower cost. That's been the main driver between -- behind the improvements of the margin, and that will be the case at least in 2026. Then obviously, we're hoping and planning to see some revenue growth, which this year will be more difficult, because of FX headwinds, but organic growth is something we're planning for. And as we expand into new industries, you'll see that as well. When it comes to some of the other industries, so outside financial services, margins are typically lower than what we have today. So that expansion doesn't improve margins that much. So margin improvements really comes from lower costs. And we are planning as we lower the cost level to be able to translate some of that or pass that on to customers, because we think that's a good lever for us to grow the business more. So the real combination between sort of revenues or income and cost over this whole period is difficult to say. But I would say at the early parts of the period, it's going to be mainly a cost reduction.
Johan Akerblom: Yes. And an important part is also to create the scalability. So when we start adding on more volumes on the income side, it actually implicitly increases the margin. So you add on basically more variable cost or more -- sorry, you add on more income with the limited variable cost on a scalable platform. So that will also help eventually the margin improvements. But as Masih said, initially, when entering all these new segments, they would probably come with slightly lower margin than we have today.
Jacob Hesslevik: Great. And then a follow-up on the cost message there. Could you pinpoint it to which division do you see the largest potential to streamline? Is it within servicing? Or is it rather investing, which you are shrinking somewhat given the divestment you announced in January?
Masih Yazdi: You mean in terms of cost?
Jacob Hesslevik: Yes.
Masih Yazdi: I mean the big bulk of cost sits in servicing. Investing, they are using servicing as a supplier, but the bulk of cost is in our collection process. Then obviously, when the investment book goes down, we have to adjust the servicing provided to the investing business, but the cost out and the process optimization is happening within our servicing business.
Jacob Hesslevik: Great. And final question from my side is just on how large share of today's collection are automated? And how does that compare to the industry average?
Masih Yazdi: We have less than 10% automated. So it's a small piece. And the problem is when you start talking about the industry, I think on average, the industry is probably slightly worse than we are, but then there's a couple of players, but they mainly operate outside the financial service industry. They have a higher level of automation. Okay. Moving on to the next.
Operator: The next question comes from Ermin Keric from DNB Carnegie.
Ermin Keric: Maybe first, do you expect any kind of implementation or execution costs for getting to a lower cost? And also, given that you're going to automate more, will you capitalize any IT investments and kind of how much will that CapEx be included in your leverage in any way?
Masih Yazdi: Yes. Yes, there will be some implementation costs when it comes to future technology. I would say in the first couple of years, '26, '27, we basically have the tools we need. We just need to apply them to a larger base of the collection process, just like Norway has done. But when it comes to implementation costs in general, we will be fitting those into the cost targets that we have. So the cost target you see and what you will see over the course of the next few years underneath that target, we will have the implementation cost being fitted. So there won't be additional costs than the targets that we've had. On CapEx, I think we already have had CapEx on the balance sheet, and I don't think that's going to be higher in the future than it's been historically, to be honest. I don't see that as a big headwind going forward. And then I think also, I mean, in terms of -- I mean, we're obviously a people's business today. We have a lot of employees working across our processes. But so far, I mean, there's been a couple of bigger programs announced externally. I think going forward and what we've basically done during the last year is that a lot of this comes through natural attrition. We have a fairly high attrition rate in some of the -- especially in the sort of the more of the collection part of our business, and we intend to kind of continue working with that rather than announcing any big programs. I think it will be a very natural evolution as we sort of implement new services and new solutions.
Ermin Keric: Then about your leverage targets. How are you doing with central costs? Where are they allocated in the leverage target? And also, do you include the full contribution from your kind of consolidated JVs in the servicing, because I suppose you need to pay some of that minorities later on?
Masih Yazdi: Yes. I mean today, basically, all the central expenses have been allocated. So it's very, very little left centralized. On the JVs, we will be updating our reporting. So these targets are now set. So we had the old target of '25, and we'll be updating our reporting to reflect the new targets from Q1 2026. So exactly how we're going to do that, you'll see that in the coming quarters. But I would say, in general, the target we're setting now means a lower leverage than the old target we had as a company.
Ermin Keric: Then the last one would be on the better usage of data. Do you mainly expect that to lower your cost to collect? Or how much more do you expect that you can increase your collections, for instance, on your own NPL book?
Masih Yazdi: I think the data is probably more a driver of collection performance rather than cost to collect. Cost to collect is a way to -- I mean, you can automate a lot of things, and you can get your cost to collect very low, right? But if your recovery rate suffers, the equation might not hold. So I think data is for me to basically decide on what is the next best action. So that's one used case, that's going to be very helpful. The other part on the data is to use it to be better in advising our clients on the best way to structure their thinking around collections and maximize the money they get back on every late payment. So those are two areas. Then, of course, you can use data for many other things. But -- and then sorry, the third sort of used case is obviously to further enhance our underwriting capacities.
Ermin Keric: Can I just put in one last question? It would just be on -- you showed the example with Norway, which I think is helpful, and its impressive improvements you've done there. But how replicable is it to Southern Europe? Because aren't the claims quite different that you're managing in Southern Europe and digitalization generally in those countries compared to Norway?
Masih Yazdi: I mean, absolutely. I mean the way we think about our markets is that you have your 13 traditional servicing and investment markets where you would have Norway as a cluster in the Nordics, you have Germany, Austria, Switzerland, you have Ben there, so Belgium, Netherlands, you would have France and then you would have Portugal. Spain, Italy and Greece are different. And we will also manage them differently, and we will have different tactics in terms of implementing the strategy. So we think about the 30 markets, that's where we can apply a lot of common levers. And then for Italy, Spain and Greece and also the U.K., which is more of a BPO market, at least for us right now, we would have to be a little bit more specialized in how we implement the strategy. So one solution doesn't fit all. So let's go to the next question.
Operator: The next question comes from Patrik Brattelius from ABG.
Patrik Brattelius: So my first question would be regarding the income trajectory in the investing side, the coming years. As we saw on the last slide, you will invest less in portfolios the coming year in the short term. And we have seen investing falling for the last few quarters. Should we expect further decline? And when do you foresee in your financial planning that this will level out and more flat line?
Masih Yazdi: Yes, I can start. The only thing we're guiding on today is that in '26, we're likely to invest less than we did in '25, because the priority we have is to reduce our leverage. When it comes to the evolution of investing beyond '26, it really depends on the evolution of our funding costs. We will make sure that we get a sufficient uplift in the returns we have on investing versus our funding cost. So the faster our funding costs come down, the more we can invest earlier. So we can't really dictate that. What we're trying to say is priority 1 is to delever, and then we will be disciplined on price, and we won't have volume targets. We do expect, we believe, and we want investing to contribute to income growth for this company at some point in time during this period, whether that's going to be '26, '27 -- or it's not probably not '26, '27, '28 or later, it's difficult for us to say. We have a plan of deleveraging. And to what extent and when the market translates that plan into a better rating and lower funding cost, it's very difficult to say without actually seeing it. And obviously, we need to execute quarter-by-quarter, so that -- I mean, presenting the strategy is one thing, executing on it is a different thing, and we need to execute on it to get the trust and see the funding costs come down, and that will lead to higher investment volumes eventually.
Johan Akerblom: But I think also, I mean, on the slide where Masih shows sort of some estimates on how we think things will evolve, you clearly see when we see trends shifting. And I think that's probably your best input on how we see the future.
Patrik Brattelius: My next and final question is regarding the JVs. We saw a divestment here announced at the beginning of the year. So could you talk a little bit how you see the divestment environment currently? And also when we look at the presentation, you have almost just below SEK 5 billion in JVs out of your ERC. Can you talk a little bit more and elaborate how much that is for sale and a little bit on that topic, please?
Johan Akerblom: I mean I'll start, and then I think Masih can continue. We are always looking to optimize our portfolio. So if that means that we can recycle and we can sell something where we think the value is X and someone else ready to pay more, that makes -- I mean, that creates value for us. There's also the balance between cash now and cash later in terms of how the collection curve looks like, especially with our focus on deleveraging. But specifically on the JVs, I think we're going to have an opportunistic approach. And as we said, we already have a couple of things that we have identified that we continue to work on.
Masih Yazdi: Yes. I mean there are differences between the JVs. And we have a JV, [ kind of LOP ], you can see it in our IR presentation. We are expecting cash flows from that JV of about SEK 1.5 billion between '27 and '29. It's not paying anything now. And the question there is that should we keep it and get those cash flows? Or is there a way to do something else? So it's this balance, as Johan mentioned, do we need the cash flows today? Or do we have the time and patience to wait for it? And we do that assessment for all the JVs we have. I mean accelerating cash is for us a good thing if we can clearly show that it adds value. At the same time, we also need to find someone on the other side who's ready to make that transaction happen.
Johan Akerblom: Okay. So we have one more question on the phone.
Operator: The next question comes from Johan Ekblom from UBS.
Johan Ekblom: Just a couple of quick ones, please. So first, on the deleveraging target. Am I understanding correct that we should look at the cash EBITDA from servicing without any adjustments for Central or JVs or anything like that to be on a like-for-like basis? That's the first question.
Masih Yazdi: You should look at the EBITDA, not the cash EBITDA. We will not be using the cash EBITDA.
Johan Ekblom: But it's servicing only. There is no adjustments. And I guess we'll get the new structure at some point before Q1?
Masih Yazdi: Yes, correct.
Johan Ekblom: Perfect. And then on the margin assumptions, I think, Johan, when we met back in September and debated kind of what AI could do to servicing margins, et cetera. I think your view was that there's a kind of upper bound what the industry will accept before you kind of get intensified competition. And my sense was that at the time, you thought that was lower than the 30% to 35%. So just interesting to see if there's been any change in your thinking or if there are interim specific things that think you can be a huge outlier versus your peers?
Masih Yazdi: I think we do think that there's more to capture. I mean here, you always need to be humble in terms of how much margin you can take and when it becomes unsustainable. But moving from '25 -- I mean, we already see today that we do deals that has a 30% margin. So if we can operate today with a 30% margin in an environment which we think is more inefficient than it will be in the future, I don't think it's very aggressive to assume that the margins in the future can actually be between 30% and 35%. So I think that's the simple logic. I think when we have done the analysis, we have come to realize that we can probably continue to expand our margins a little bit.
Johan Akerblom: Yes. I mean just to add, I mean, we are reporting 25% on average. When you're in 17 markets, it means that you have markets that are clearly above that level and the markets that are clearly below. We can see in the data that where we are clearly below that, we actually have more structural issues, and we are markets -- we have markets operating at 35% today, without really seeing increased competition. We've just done more things. I mean, Norway is a good example, which is higher than the 25% we have as a group. So based on that data, we think that this is possible. And obviously, to some extent, we are trying and will be a first mover and adapt things faster than others. And that's a way, obviously, to improve your margin. I think another point which we never discussed, I think, it's also when you move into value-adding services, your margins should be higher, but they will still contribute to our servicing margin. And that's something that we can clearly see when we look at some of the markets where we have expanded into the value chain.
Johan Ekblom: Yes. Perfect. And then I guess in an interview in the press today, you were -- or you made a comment that it would be nice to get a new core shareholder or a larger shareholder. And I don't know to what extent the journalist is putting words in your mouth. But is there anything you can tell us? I mean, is there any strategic action being taken to try and source that or anything you can share? Or was it kind of an offhand?
Johan Akerblom: I mean -- I think what I said was we are always meeting investors. We are always welcoming long-term investors that shares our view on what can be achieved in the future. And I mean, it's a very generic statement, and I think that's where we will leave it. But I mean, the fact is that we have one major shareholder that has gone from plus 30% to maybe 10% or 11% -- and then we don't really have much institutional ownership. So of course, we would welcome a long-term investor or a couple of long-term investors that shares our view on what we can create in the future.
Johan Ekblom: Perfect. That's how I thought I should understand it. And then just finally, I mean, you say you're going to be opportunistic about things like JVs, et cetera. I mean when we think about it, when you say, okay, this one has cash flow 2 or 3 years out, your funding cost, I guess, on the margin, at least today is high single digits. I mean, should we interpret that as you would be maybe not very willing, but at least willing to consider selling things at a book loss, because it would allow you to deleverage faster. I mean you haven't sold at any meaningful loss in the past. So I just wondered if there's a change in how you view these things now?
Johan Akerblom: I mean -- I think we are going to be very sensitive to selling anything below book value. I think the recent transaction just shows what kind of appetite we have. So I mean, I think there's a strong hurdle before we actually go ahead and do something opportunistic. And that is we can clearly show there's a value for Intrum and its shareholders, and it helps us on the deleveraging. And I think that's where we're going to leave it. But there are -- there's a lot of people out there who looks into the space and what might be less value to us might be much more value to them. And I think that's the kind of the type of combinations we're trying to find.
Masih Yazdi: I'm going to transform myself from a CFO to a moderator, because we have a few questions coming in, in writing format as well. I'll ask you one. So the first one is, what are your major considerations when assessing the advantages and disadvantages between owning 100% and minority stake in an SDR?
Johan Akerblom: I mean that's a very interesting question, because owning a majority of an SDR comes with a lot of benefits. I mean, first of all, we would control the investment decisions. We would control the definitions of how much CapEx should be spent, how much dividend should be paid out. Of course, we would be regulated, but in line with all the regulatory requirements, we would still be the driver of that agenda. The downside of owning an SDR is that it creates regulatory complexity. It puts another pressure on how we run the group. And there's also a question around consolidation. So if we flip that into minority, being a minority, we need to have a very high comfort that whoever we own this with and whatever shareholder agreement we have, we have a lot of input when it comes to CapEx and dividend distribution. And also, we are probably then maybe an outsource provider of some underwriting advice. So I think those are the things. And then also having a minority stake, I think our partner needs to be someone where we feel that there's a natural flow. Either there's a natural flow of business that can go into the SDR or it's an investor that needs our support to basically build their book in this area. I don't know if you want to add something.
Masih Yazdi: No. That's very good. I'll ask myself a question. So we have a question here on what the leverage ratio would have been had FX not moved in the quarter. And there's same person has asked a question about what targets we have in terms of servicing revenue. On the leverage ratio, generally, if the krona weakens, we benefit, because income is greater than cost. So you have a long period of weakening krona, we make more money and that has a positive impact on leverage. In a single quarter, that could differ. It depends on what the FX ended that quarter at versus the average during that quarter. In Q4, I would say the effect was very marginal from FX on the actual outcome of the leverage ratio. On the revenue target on servicing, it is by design. We have 3 financial targets and none of them are related to revenues. I mean, obviously, margins in combination with cost, that is to some extent, related to revenues, but we don't have an actual income target, because it's something we can't fully dictate. We've presented the data we have, which is that the market should grow by 3%. We presented data on pockets we think we can penetrate, which is up and above the 3%. So obviously, the goal for us is to grow faster than the market by improving our servicing performance and penetrating portions of the potential we've seen -- we see in financial services, nonfinancial services and SMEs. That's the ambition, but we don't set a target, because it's very difficult to know exactly at what pace, how quickly we can execute on the things we see in the market. So one more question to you then. Can future partnerships be different -- different type of investors than private equity like Cerberus and with different or better fee structures?
Johan Akerblom: I think the future partnerships, if I understand the question, can it be different than Cerberus?
Masih Yazdi: Than private equity?
Johan Akerblom: Than private equity. Yes. Okay, the like. So basically, yes, definitely. I mean, I think that future partnerships, as I think I said earlier, could also be more of a passive investor that actually wants to have the experience and the capacity and also the servicing aspect of working with someone who's been in the industry for a long time. That could be one type of partner. It could also be an industrial partner. I mean, today, we see the dynamics in the industry changing. And a lot of the players are moving into either a pure servicing direction or a pure investing direction. We have both channels. We're obviously focusing more on the servicing, because we're changing the franchise model. But to work with someone who's in a pure play on the investing side, I don't necessarily think that that's ruled out either. So I think there's many opportunities. We just need to be treading carefully to always keep our credibility and our professionalism in every time we work with someone who's sometimes in conflict in business with us, sometimes in conflict of business with other partners we have.
Masih Yazdi: Good answer. There's one more question. I'll take that myself. We have mentioned Norway as a leading example. Could you provide some color on how the EBIT margin in Norway compares to other geographies? The margin in Norway is higher than the average we show for the group of 25%. And this is despite the fact that in Norway, you've had a regulation in place since 2018, where you haven't been allowed to adjust servicing fees. So basically, with the exact same servicing fee for 8, 9 years, we've been able to improve the margin quite significantly only by reducing costs through operational efficiency. So that shows you the force in being able to do that across all the traditional markets that we have. The debtor fees has been locked. But now we actually are -- they are getting unlocked in '26, and there will be an adjustment to partly compensate for the historical non-adjustments. And that hopefully will make the Norwegian market even more interesting going forward.
Johan Akerblom: Okay. We have one more question from the telephone. So let's go to that.
Operator: The next question comes from Jacob Hesslevik from SEB.
Jacob Hesslevik: Just one more question on Slide 31. You state that you plan to redeem SEK 10 billion to SEK 15 billion until 2030. Does that mean your net debt is expected to be SEK 29 billion to SEK 34 billion, where you aim to have a 3x leverage? Was that too simple to look at it? I'm just trying to see if I can backtrack the EBITDA target for servicing going forward.
Masih Yazdi: Yes. No, that's the right way we're looking at it. What you also need to make an assumption for is how large our investment book is at that point in time, because that will consume some of the remaining debt we will have at that point. So -- and we're not guiding on that, but you can make your own assumptions based on the guidance we have, which is more limited investments in the short term, ramping up later on, and hopefully contributing to income growth later in this period '26 to 2030. But sure, I mean, you can start with the current net debt, reduce that with that amount and you get an understanding of where the debt will be and then assume something on the investment book and what is required from EBITDA and servicing to get to the 3x.
Jacob Hesslevik: Great. And is it possible to state anything what your replacement CapEx level is currently on your portfolio investments?
Masih Yazdi: It's slightly below SEK 3 billion, around SEK 3 billion. SEK 2.5 billion to SEK 3 billion.
Johan Akerblom: So I think with that, we are concluding today's session. I think we have basically shown you where Intrum is heading. In 2030, the company will be a completely different franchise. We have taken a more ambitious approach when it comes to our targets. We have also said that it will take slightly longer. But in the end, we want to focus on the leverage. We want to deleverage. We want to create a much more stable franchise. We are continuing to take out the cost and be more efficient and basically make ourselves ready to compete outside the space where we're operating today. And thirdly, by doing so and capturing more business, both within where we work today, but also with outside in new verticals and new value-adding services, we will increase our margin. And with that, we basically create a much more stable business model. I would like to thank you all for listening. Thank you for many good questions. It's always great that Jacob is the first, and now he was also the last question. And yes, I guess we will have some bilaterals with some of you going forward. Thank you very much, and have a nice afternoon.